Operator: Welcome to the Renault Third Quarter Financial Results Conference Call. I now hand over to Mr. Huon. Sir, please go ahead.
Thierry Huon: Good evening, everyone and welcome to Renault's third quarter 2016 conference call, broadcast live and available in replay versions on our website. The presentation file and press release for this call are all available in the finance sections of our website. I would like to point out the disclaimer on slide 2 of this pack regarding the information contained within this document and in particular about forward-looking statements. I invite all participants to read this. Today's call is scheduled to last about 45 minutes. As usual, we have two speakers this evening, Thierry Koskas, EVP in charge of sales and marketing and Clotilde Delbos, EVP and CFO. Their presentation will last about 20 minutes and will be followed by the Q&A session. If we don't have the time to take everyone's questions in this session, Clementine, Nicola and myself will be around to take your calls later. Without further ado, I hand over to Clotilde for a few opening remarks.
Clotilde Delbos: Thank you, Thierry and good evening, everybody. Before reviewing our Q3 commercial results with Thierry in a minute, I would like to highlight the key takeaways from the third quarter. The European market remained well oriented in the last quarter at plus 5.3%. Emerging markets showed a more differentiated situation, with still depressed Russian and Brazilian markets, while Iran and India are clearly accelerating. In Europe, the performance of our new products, the resilience of Clio and Kaptur and the continuing success of Dacia have fueled our commercial performance with registration up 11.3%. Outside Europe, despite a difficult environment in some markets, we achieved an impressive 21.5% increase in our registrations, largely driven by the success of our new models. In terms of risk for the rest of the year beyond ForEx, I would like to mention R&D spending which is likely to be higher than expected due to still low capitalization ratio and higher investment to prepare the future. On the other hand, we have opportunities, like volume growth which remains strong and raw material that is still a tailwind. From today's visibility, these opportunities are offsetting the risk. Given this overall context, we're confirming our guidance for the full year. I will now pass the call over to Thierry, who will review our quarterly commercials performance.
Thierry Koskas: Thank you, Clotilde. Good evening, everyone. I will present briefly the commercial results for Q3 2016. So in Q3, we sold 722,000 units which represents a 16% increase versus Q3 last year. In all TIV, we grew by 5%. The good trend in our sales shown in the first semester therefore continues, as year to date our sales are progressing by 14.3% and the global market share year to date reached 3.5%. In all our regions, our performance is positive compared to the market which enables us to grow more than the market or to offset part of market decrease. Two important points to be noted in this, first of all, in Europe the market is still well oriented plus 5.3% and we continue to gain market share. Second point is that outside Europe, sales increased by 21.5% which means that the weight of sales outside Europe is increasing, as we will see in the next slide. So let's move to the next slide. So as we can see, the weight of Europe in our sales is 53 -- 52% in Q3 2016 which is less than last year's Q3. It was 54% and also less than this year's nine month, 59% which is the illustration of the growth outside Europe and if you see, Q3 is traditionally less favorable in terms of seasonality in Europe. We're looking at our third markets in Q3. We have five European countries and five countries outside Europe with the entry in the top 10 of two key countries, India in the sixth position and Iran in the eighth position. Let's now move to some details per region, starting with Europe in the next slide. So in Europe, our market share in Q3 reached 9.5% which is a growth of 0.5 points versus last year. Specifically in France, our Group gained 1 point market share at 25.4%. In terms of volume on the topline, we logically benefit both from the positive TIV trend and gain in market share which explained the increase from 339,000 to 377,000 units. Regarding orders, the level of customer orders is good versus last year; however, our portfolio slightly decreases. This is explained by better ability to deliver cars, thanks to better availability of our products. The portfolio covers today 1.4 months of sales which represent good coverage and obviously the launch of new scenic to come will have a positive effect on our order book. Let's move now to Africa, Middle East, India region. So in this region, our Group enjoyed strong growth, almost doubling our market share that reached in Q3 6.4%. This result was achieved thanks to, first of all, our progression in India, where KWID is very successful and enables market share to move up to 4.2%; our progression in Iran, where sales were more than double versus Q3 2015; and in the Maghreb where, in spite of market drop, especially in Algeria, Renault sales are up by 13%. Let's move now to Eurasia region. In Eurasia, market effect is negative both in Russia and in Turkey. However, this is partly offset for our Group as we gained 0.7 market share in the region, reaching 12.4%. In Russia, thanks to the launch of our new model Kaptur with a K which is off to a strong start, market share grew by 0.9 points in Q3. In Turkey, market share is down in Q3, but still growing year to date by 1 point. Explanation is, as you know, two key models were replaced or updated. Megane sedan replaced Fluence and Clio moved from Phase 1 to Phase 2 and obviously production ramp-up will enable us to serve demand from Navan. Let's move to America region. In America, the market effect is negative, mainly in Brazil, but this has been completely offset by the performance effect. Our Group gained 0.2 point market share and is progressing in our main markets. In Brazil, Renault gains 0.4 points with the impact of Duster Oroch that has already reached a significant position in the pickup segment. In Argentina, Renault benefits from the favorable market condition and gains more than 1 point market share. And finally, in Colombia Renault also gained 1 point market share and just launched in this country the new one-ton pickup Alaskan. Let's now finish the regional presentation with Asia-Pacific region. In Asia-Pacific region, Renault Group is progressing in volume and in market share. Two main countries in this region. In Korea, Renault Samsung Motors gains almost 2 points market share, thanks to successful new products, firstly SM6 which was launched a few months ago, achieving strong position in its segment, as we will see it in the next slide and QM6, the sistal model are new colors that has been presented in Beijing and Paris Motor Show and that is also very well received in Korea. In China, start was slower than expected, but the sales trend of Kaptur in the last two months is positive, thanks to network expansion, commercial actions that enabled to get the brand more known both at national and regional level. Lineup will soon be completed by the launch of a second locally built model, Koleos. Let's end up the commercial presentation with a quick update on new models recently launched. So what you can see on this slide is a broad view of the main achievements of our new models recently launched by our Group. Overall, we consider the results of most of our models meet or exceed expectations. Going quickly through each of them, Talisman is together with Espace, so you see the coming back of Renault in the D segment. It is number one in France and in the top 10 of its segment in Europe, gaining progressively in OMS. SM6, Talisman's equivalent in Korea, has been very successful, reaching second position in its segment with a 23% segment share. Espace reached the fourth position in its segment in Europe, being top one in four key European markets. Duster Oroch, that introduces a new breakthrough offer in the pickup segment, represents almost 5% of the LCV segment in Brazil and is already number two in its segment in Colombia. Megane is currently in second position in its segment in France and ninth overall in Europe. Kaptur marks Renault's entry in the C crossover segment. It has been quick to gain awareness throughout Europe and the model is in seventh position in its segment and number one in France. Kaptur that was just launched in the Russia exceeds our expectations, with 7,500 orders since launch, the majority of them coming from non-Renault customers. And finally, we just announced the launch of Zoe with a long-range battery that enables a homulogated range of 400 kilometer or 250 miles. Zoe was the most sold model at the Paris Motor Show; over 1,000 orders have been taken in a few days and this will enable to strengthen Zoe position as best-selling electric vehicle in Europe. I will now hand to Clotilde Delbos, who will present Q3 revenue and outlook. Thank you very much.
Clotilde Delbos: Thank you, Thierry. I will start this presentation with the change in third quarter revenues compared to last year, on slide 15. As you can see, Group revenues increased 13% to €10.546 billion in the quarter. The contribution from the automotive division increased 13.5%, while the contribution from sales financing was up 4.3%. I will begin the analysis with the review of the automotive division on slide 16. On this slide, we show the contribution to the change in automotive revenues for the third quarter, broken down by item. From the left-hand side, the first item, volume, increased by 10.7 points. This positive impact is smaller than the increase in registrations, due primarily to the fact that CKDs, notably in Iran and China, are included in registration, but are not captured in the volume affect. On the other hand, the change in inventories has a positive effect of about 3.5 points in this item. Last but not least, do not forget that our new car business is not 100% of automotive revenue. Next item, geographical mix, accounts for a positive 0.6 points, reflecting stronger sales in region where the average selling price is higher than the Group's one. The product mix effect was negative in Q3 at minus 2.5 points, mainly because of the Kwid effect and because of strong sales of Sandero in Europe. The price effect was positive by 4.6 points. It is the reflection primarily of the price increases implemented in certain markets in order to offset currency weakness, but also of the enrichment priced on new models in Europe and in Korea. The sales to partners item was again positive in the quarter. The impact was 1.8 points. It was lower than in H1 as it has -- it was penalized by the rogs model changeover timing and by lower demand for diesel engines. The next item is foreign exchange. It showed a negative impact of 3.8 points. The most impactful currencies this quarter were the Argentinian peso and the British pound. The last item, others, impacted positively by 2.1 points. This items represents the activities outside the new car business, mainly spare parts, non-new car sales, as well as restatement related to buyback commitments and R&D invoiced to partners. If we now turn to slide 17, you see the usual third quarter destocking at independent dealers, but this year the magnitude of this destocking was smaller than in the past years, reflecting our effort to better manage our inventories. Independent dealer stocks stood at 324,000 units versus 371,000 units at the end of June. At the same time, Group inventories increased by 67,000 units. All in all, total inventories ended at 591,000 units versus 520,000 units a year ago. This increase is in line with the growth of our registrations. Due to the traditional seasonal pattern, these inventories represent 76 days of sales, in line with the 77 days of last year. However, on a forward-looking basis our inventory level is still a bit low at 60 days. I will now move on to slide 18 and comment RCI's commercial performance. Revenues increased 4.3% in the quarter at €557 million. As you know, revenue is not the best way to gauge RCI's performance, but this increase reflects the sharp growth in assets and lower negative ForEx impact. In terms of activity, the number of new contracts written by RCI Banque in the third quarter increased by 10% versus the same period in 2015. New financing in the period rose 13.8% and reached €4.4 billion. As a consequence, average performing assets increased by 17.5% compared to the third quarter of 2015. Before moving on to the Q&A session, I will turn to the last slide, number 19 which gives you our outlook for 2016. As I mentioned in my preliminary remarks, we confirm our guidance for the full year 2016 which states increased registration and Group revenues at constant exchange rates, improved Group operating margin and positive automotive operational free cash flow. This concludes our presentation. Thierry and I will now take your questions, so I will hand over the call over to the conference operator. Thank you for your attention.
Operator: [Operator Instructions]. The first question is coming from Charles Winston, Redburn. Sir, please go ahead. 
Charles Winston: It is Charles from Redburn. Good evening and thanks for taking my questions. Could I just explore the points you are talking about in terms of volume? I just want to make sure that I understand it. Could you tell us the consolidated delivery volume? In other words, what we would perhaps colloquially call sellouts from channel. What was that consolidated ex-CKD figure and how that compares to this 10.7%? And then, given that sellout was considerably above sell-in in the first half and we still haven't really seen that corrected in this quarter, should we expect a significant -- in other words, should sell-in be significantly above sellout in the fourth quarter or by the end of the year do you think that sell-in will still be lagging sellout in terms of overall growth? Sorry, hopefully that question is relatively clear. And then my second question, just very quickly, can you confirm -- I know this is a revenue call, but can you confirm the €350 million net savings figure you were talking about? Is that still definitely on track for the year? Thank you very much.
Clotilde Delbos: I am not completely sure I got your first question. What I said basically is that the difference between our volume and our sales is explained by the following items. If you bear with me just a second, I am trying to find my notes. The volume increased by 10.7%. There is a difference between indeed the volume impact in turnover and the volume impact in registration, because you don't have the whole thing flowing through the volume box. Namely, CKDs is going to another box. It is in the sales to partner. And the change in inventory has, in that, been slightly positive impact of 3.5 points on this item. We don't have handy and we don't give forecasts for that in the last quarter, so I'm sorry. I'm not going to be able to answer this last part of your questions. On the monetary item and the €350 million, first let me remind you that this is a revenue call, so I'm not going to go into detail of any impact on the P&L. But as I mentioned in my preliminary remarks, we have higher R&D spending than initially planned and lower capitalization rate. The higher spending is due to investment that we're making for the future. But you also understand from my remarks that even though this is a challenge on the monesecury side, we have opportunities on other side that hit the P&L and hence I am quite comfortable so far with the current consensus that you have on the market.
Charles Winston: Going back just volume points, could you perhaps just give -- or the implication is that inventory, the inventory side, helps the volume figure by 3.5%. That is implying that the consolidated sellout, the delivery volume, if we strip out that CKD impact, was perhaps nearer 7% or so, given the 10.7 and you are saying that the inventory impact was helpful by 3.5. Is that a correct understanding?
Thierry Koskas: This is Thierry speaking. So first of all, I will be available after the call to explain you in details what happened here, but basically what I could say at this point is that the positive impact from the destocking was about 3.5 points, as Clotilde already mentioned. Then the negative impact of the CKDs is about 3 points, so one balance the other.
Operator: The next question is coming from Gaetan Toulemonde, Deutsche Bank. Sir, please go ahead.
Gaetan Toulemonde: It is Gaetan speaking from Deutsche Bank. I know it is revenues. I know it is not earnings, but I'm a little bit lost on these R&D. Just on that point, can you tell us a little bit what the magnitude of higher R&D in the second half and lower capitalization rate, rough number? Because you started to talk about that; I think it would be great if you could clarify the situation. And the second question is when I compare price and currency, is it fair to assume that price increase in emerging markets fully offset the devaluation of the currency, thinking about peso in Argentina and maybe some other marginal countries. Can you clarify that a teeny bit on those two points? It would be great; thank you.
Clotilde Delbos: Yes, Gaetan, thanks for the question. Yes, it is an earnings calls; it is not a P&L call, so I'm not going to go in more detail on the R&D. I think I gave you all the information that you need. On the price and the currency staff, no, we cannot say that we have offset 100% of the FX variation with price. This is not -- it has not been the case in the past and it has not been the case in this quarter.
Gaetan Toulemonde: Emerging market only.
Clotilde Delbos: Sorry?
Gaetan Toulemonde: Emerging market only.
Clotilde Delbos: Yes, yes, yes, I am talking emerging markets.
Gaetan Toulemonde: Okay.
Clotilde Delbos: And obviously if you look at the UK, where we have had a big hit on the second -- on the third quarter, we're behaving like most of our competitors on the market, so we're very cautious on the price movement that we're making on this market. So, far you can't definitely not say neither on emerging nor globally that we have offset 100% of the currency impact.
Operator: The next question is coming from Mike Tyndall, Citi. Sir, please go ahead.
Mike Tyndall: It is Mike Tyndall from Citi. Just a couple, if I may. Just in relation to the volumes in Europe, I think if I remember rightly when you were talking to us last, you said that volume expectation in Europe has certainly been -- it has been a lot higher than you were expecting and that has put a load on the machine, so to speak. And there was some mention earlier on the call with regards to relieving some of the bottlenecks and that's why when we look at the order intake, it is not quite as high as it was. I just want to understand how you have done that. Is it extra shifts or have you found other ways that perhaps have got rid of some of the overheating costs that we saw? I realize it's a revenue call, but some of the pressure that you had in the first half, are you finding it easier to cope with the stronger-than-expected growth as we go through the year? And then, the second question just specifically on the Megane in France coming in at number two in the segment, is that a function of it hasn't been in the market the entire year or is there another product out there that is more successful than the Megane at this point? Thanks.
Clotilde Delbos: Yes, first on the cost front and then I will turn over to Thierry on the Megane front. Definitely, we still have a lot of volume. That's for sure. You can see that we're progressed a lot in volume and in market share, so that is obviously a good thing. In terms of cost, again it is not a cost call, but we have not implemented additional shift anywhere in the organization to support these additional sales and I think that's the only elements that you need to know on this revenue call.
Thierry Koskas: Yes, on Megane what we can say is we have started the sales in the retail market, then entering into the fleet market. The sales are -- the availability is not complete on a full-year basis because we just launched a few weeks ago the estate version, so it is too early to assess really how we position the model, especially as the landscape for Renault in terms of offer in the C segment is very much different from what it used to be a few years ago, as we have now more a wider offer with especially a crossover Kadjar. So probably by the end of the year, we will be able to fully assess the performance of Megane.
Operator: The next question is coming from Horst Schneider with HSBC.
Horst Schneider: I have got two questions, actually. First of all, I want to get a better feeling for the sales momentum for the fourth quarter. What I am seeing in my model is that the comparison base from a year ago was basically getting a little bit higher. At the same time, European market growth might slow down a little bit, so therefore I just want to know if you can maintain here this double-digit sales growth in Europe or should we get prepared for some lower growth in Q4 despite of the rollout of the Scenic. And then, second, when I look at the currency impact, we see a lower sales impact, at least compared to Q2. I just want to know if from here on basically the foreign-exchange burden will rather decline, because we have got by now also some tailwind from the Brazilian real and the sales volume in the UK should get a little bit lower which helps at least on the foreign-exchange impact side? Thank you.
Thierry Koskas: Okay, so I will answer the first part on Q4. We expect to continue the growth at a good rate for a very simple reason which is the launch of new Scenic which we just presented in the Paris Motor Show and, as you know, that represents a good commercial opportunity for Renault. We have been traditionally very much the leader in this segment and the car has been, I believe, very well perceived by the press and also by the public. So it should fuel our growth in the Q4 that we would expect in Europe, but at a good rate compared to what we enjoyed so far.
Clotilde Delbos: Yes, you had a question still on sales?
Horst Schneider: Yes, just a follow-up question. Does that also mean that you have got -- basically, you produced longer this year than last year, because you increased further the inventories?
Thierry Koskas: Yes, if I understand the question, we also increased the production in order to follow the sales. That's quite of use, until we did not catch completely your question.
Horst Schneider: I mean, when we talk about the production breaks, of course you have got some Christmas breaks. I just want to know if you produced more than last year in Q4 this year which is then obviously important for the trade payables, for example?
Thierry Koskas: Yes, I would assume really that in Q4, considering the sales perspective, we will likely produce more in Q4 2016 than last year.
Clotilde Delbos: Yes, definitely I think in view of the volume we have in mind, this is clearly going to be the case. If I take now your question on currency, you are right. I think Q3 saw in revenue, at the revenue level, a slowdown of the negative impact of currency. In view of the fact that the main currency that did hit us usually, I would say, is ruble, Brazilian real, Argentinian peso and now the pound and the first two one I mention did ease and went the other way around, so that did offset part of the impact that we got on the Argentinian peso and on the British pound. If we look at Q4, it should continue the same way. I think the Argentinian peso was devaluated at the very end of Q4 last year, so we should still be hit in Q4. Same with the pound. The pound was very high last year. It was a little smaller, you're right, at the end of Q4 last year, so it should be slightly less, but now nobody knows what the level of the pound is going to be at the end of this year. Now what we say on the revenue is not necessarily true for the impact on the EBIT. As you know, for Argentinian peso and British pound, we have limited cost offsets as we're not producing in the UK and we're -- have slight lower localization rate in Argentina. So, still an impact to come on Q4 at the revenue level and at the P&L level.
Horst Schneider: But in terms of earnings, the H2 impact will be lower than H1 or at least as high as H1?
Clotilde Delbos: I don't think we can make that kind of forecast. It really depends on what the market is going to -- I don't have a crystal ball. I guess you don't either, so.
Horst Schneider: From today's perspective, just let's assume the currency rate will stay where they are right now, right?
Clotilde Delbos: I would take as an assumption that is the same in Q3.
Operator: The next question is coming from Fraser Hill, Bank of America Merrill Lynch. Sir, please go ahead.
Fraser Hill: It is Fraser Hill from Bank of America. Just wanted to come back to the comments that you [indiscernible] on the R&D. I know it's a revenue call, but obviously you specified a view there. You mentioned on the first-half call that the second-half risks included Brexit, R&D costs and some supply-chain difficulty. So are you mentioning this R&D issue again now because it has increased further in your mind or the rates have increased and that cost step-up is further or are you just reminding us of something you have already told us previously and therefore there is no particular change to your view? And then the final point, I think you also said that you are happy with the consensus in the market. Could you just specify at what level of -- that the financial statements that is? Is that the EBIT consensus that you see and what EBIT do you think consensus is today? Thanks.
Clotilde Delbos: Yes, you're right to mention that at the end of Q2 we mentioned three types of risk and three types of opportunity. On the risk side, you're right. There was Brexit. Now everybody has seen the impact of Brexit on the currency level, but to be honest, at the end of Q3 we haven't seen any major impact on the sales level. It was not seen. We don't know what Q4 is going to be, but we didn't see any major negative impact on the sales level in UK nor any contagion to the rest of the continent. The second part was supply issue. We think that it has eased. That is the reason why I mentioned R&D, because it is a remaining risk that we see versus the other ones that have eased a little. And we see it as a risk also because we thought at the time of the Q2 or H1 results that the capitalization rate would go up which is not the case. So that's the reason why we mentioned that. But we also had mentioned opportunities and these opportunities are also delivering, I would say, so it is not nothing, especially negative all in all. On the consensus, Thierry, you wanted to take that question.
Thierry Koskas: Yes, Fraser, hi, it is Thierry. So the consensus that we're collecting today stands at about -- a bit north of €50 billion in terms of revenue and around €3 billion in terms of EBIT.
Operator: The next question is coming from Jose Asumendi, JPMorgan. Sir, please go ahead.
Jose Asumendi: Couple of questions, the first one on product mix. Can we expect the product mix to turn a bit more positive in the fourth quarter, thanks to the product launches or at least less negative than what we had in Q3? And second element, if you could provide any comments, please, on the outlook of the Russian market and any signals of improvement, at least into the fourth quarter and Q1 next year? Many thanks.
Clotilde Delbos: Yes, product mix is negative in Q3. This is clearly, as you know, the impact of Kwid in India which is sold at less than €5,000, so it is the main negative driver to this negative product mix. We already started to sell this product at the end of Q4 last year, so we should have a lesser impact on Kwid for the Q3 -- for the Q4 and on top of it we will have benefits from the C&D segment new cars that we have launched lately that should have a better impact also on Q4. So all in all, we expect Q4 product mix to be in a better position that it has been in Q3.
Thierry Koskas: On the Russian market, what we observed since the beginning of the year is a steady trend at minus 15% compared to last year. So what we expect -- so the situation is still negative and we expect some stabilization at this level by the end of the year.
Operator: [Operator Instructions]. The next question is coming from Alexis Albert, Barclays. Sir, please go ahead.
Alexis Albert: This is Alexis Albert from Barclays. I had two quick questions. I'd like to come back on the product mix, if possible. So if I understood correctly, you said Q4 should improve because the Kwid was launched at the end of 2015. Could you help us understand if we think about the next 12 months, is the new Scenic, do you think, enough to go into a positive territory with the product mix, the new Scenic and also the full lineup of the Megane with GS8? This is my first question. Second question is could we go back to sales to partner? During your presentation, I missed exactly your explanation for sales to partner about Q3 and if you could give us any -- if you could help us looking at sales to partner going into Q4 and beginning of 2017, that would be great as well. Thank you.
Clotilde Delbos: So the first question on product mix, obviously, as we're saying, that Kwid is the one that is dragging us down. As we're going to have a full year onto 2016 and we don't have the full year of higher -- sorry, of products with higher turnover per unit that were launched during the course of this year, I would expect that next year is not the same situation. Kwid is already in this year. It should not be drastically different next year and we should have the benefit of the C&D segment next year, so there is no reason that the product mix should be negative into 2017. On the sales to partner, yes, it is slightly lower than H1, as we have seen, but it does remain a solid pillar of our growth, with a positive impact of 1.8 versus the 3 points that we saw in H1. The relative slowdown mostly related to lower production of Rogue that we're selling to Nissan and producing in Korea, because of the specific timing of the model year change. Sales have been postponed to October, so it is really a one-time impact. But we also see lower diesel engine demand in Europe. For Q4, it will depend on the demand of allotment for existing production. Micra will start late in Q4, so we should not see that many impact in our accounts for the year 2016, but -- and also bear in mind that the Iranian business will be less of an incremental, as the market started to reopen already last year in Q4.
Operator: There are no further questions.
Thierry Huon: So, okay, if there is no further questions, thank you for being on the call this evening and as I said as an introduction, Nicola, Clementine and myself are available if you have questions later on. Have a good evening, bye-bye.